Executives: John Randy Burkhalter - Vice President, Investor Relations Michael A. Creel - Chief Executive Officer & Director A. James Teague - Chief Operating Officer, Director & Executive VP W. Randall Fowler - Chief Financial Officer, Director & Executive VP Albert A. Martinez - Senior Vice President-NGL Marketing & Supply Anthony C. Chovanec - Vice President, Enterprise Products Holdings LLC Graham W. Bacon - Group Senior Vice President, Operations and Environmental William Ordemann - Group Senior VP-Unregulated NGLs & Crude
Analysts: Ted J. Durbin - Goldman Sachs & Co. Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc. Mark La France Reichman - Simmons & Company International John Edwards - Credit Suisse Securities (USA) LLC (Broker) Nick S. Raza - Citigroup Global Markets, Inc. (Broker) Kristina Kazarian - Deutsche Bank Securities, Inc. Andrew Ramsay Burd - JPMorgan Securities LLC Jeff Birnbaum - Wunderlich Securities, Inc. Helen Jung Ryoo - Barclays Capital, Inc. Charles Marshall - Capital One Securities, Inc. James Carreker - USCA Securities LLC
Operator: Good morning. My name is Kelly, and I will be your conference operator today. At this time, I would like to welcome everyone to the Enterprise Second Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. I'd now like to turn the call over to Randy Burkhalter. Sir, you may begin your conference.
John Randy Burkhalter - Vice President, Investor Relations: Thank you, Kelly. Good morning, everyone, and welcome to the Enterprise Products second quarter earnings call. Our speakers today for the call will be Mike Creel, Chief Executive Officer of Enterprise's General Partner; followed by Jim Teague, Chief Operating Officer; and then Randy Fowler, Chief Administrative Officer. Other members of our senior management team are also in attendance for the call today. During this call, we will make forward-looking statements within the meaning of Section 21E of the Securities and Exchange Act of 1934 based on the beliefs of the company as well as assumptions made by, and information currently available to, Enterprise's management team. Although management believes that the expectations reflected in such forward-looking statements are reasonable, it can give no assurance that such expectations will prove to be correct. Please refer to our latest filings with the SEC for a list of factors that may cause actual results to differ materially from those in the forward-looking statements made during this call. And with that, I will turn the call over to Mike Creel.
Michael A. Creel - Chief Executive Officer & Director: Thanks, Randy. This morning we reported solid second quarter results for what is typically a seasonally weak quarter. We had record NGL, crude oil, petrochemical & refined products transportation in this quarter. Crude oil pipeline volumes increased 13% to a record 1.5 million barrels per day. Refined products & petrochemical transpiration volumes increased 9% to a record 875,000 barrels per day. NGL transportation volumes increased 4% to a record 3 million barrels per day, which includes an 18% increase LPG export volumes to a record 288,000 barrels per day. We also benefited from contributions from recently acquired and newly constructed assets they began service during the last 12 months and from lower operating expenses. This led to a 3% increase in gross operating margin and a 5% increase in distributable cash flow over the second quarter of last year, excluding proceeds from assets sales. Earlier this month, we announced an increase in our quarterly cash distribution to $0.38 per unit with respect to the second quarter of 2015, a 5.6% increase over the distribution declared with respect to the second quarter of last year. This is our 44th consecutive quarterly increase and the 53rd increase since our IPO in July of 1998. Enterprise generated $988 million of distributable cash flow for the quarter providing 1.3 times coverage of the cash distribution. We retained $238 million of our cash flow to reinvest in the growth of the partnership and reduce our reliance on the capital markets; and for the first six months of this year, we have retained $532 million of distributable cash flow. Gross operating margin from our NGL Pipelines & Services segment was $651 million for the second quarter of this year compared to $681 million for the second quarter of last year. Gross operating margin from our natural gas processing and our related NGL marketing business decreased $45 million or 17%. Equity NGL production declined 9% from reduced ethane volumes. Fee-based natural gas processing volumes were essentially flat with 4.9 billion cubic feet a day for both quarters. Gross operating margin from our NGL pipelines and storage business increased $51 million or 19% to $312 million this quarter, with $21 million of this increase coming from the NGL export terminal in the Houston Ship Channel and the related channel pipeline. Included in this increase was $14 million associated with assets acquired in the Oiltanking transaction with the remainder of the increase due to higher LPG export volumes as a result of the expansion that we completed in March of this year. We're on schedule to add another 7.5 million barrels a month of capacity by the end of the year, which will increase our total LPG export loading capacity to approximately 16 million barrels per month. Collectively, gross operating margin from the Mid-America, Seminole and Chaparral NGL pipelines and related terminals increased by $17 million. This was primary due to higher transportation tariffs and other fees and lower operating expenses. These increases were partly offset by a decrease in gross operating margin from lower transportation volumes due in part to lower ethane recoveries. Gross operating margin from our NGL fractionation business decreased $35 million compared to the second quarter of last year due to the lower volumes and revenues from product lending. Total fractionation volumes decreased 23,000 barrels per day, primarily due to lower ethane recoveries. Gross operating margin from the Crude Oil Pipelines & Services segment increased $52 million or 28% to a near-record $236 million for the quarter. Gross operating margin for this segment included $37 million from assets that were part of the Oiltanking acquisition and a $28 million increase from our ownership interest in the Seaway crude oil pipeline. The new Seaway Loop pipeline began commercial service in December of last year. Net to our interest, transportation volumes on Seaway increased 32% to 153,000 barrels per day compared with the second quarter of last year. Our Natural Gas Pipelines & Services segment recorded gross operating margins of $191 million compared to $203 million in the second quarter of 2014. One of the primary reasons for this decrease was our San Juan natural gas gathering system, which had lower gathering fees that are indexed to natural gas prices and reduced condensate and natural sales margins. Gross operating margin from our Petrochemical & Refined Products Services segment increased 12% or $20 million to $181 million for the quarter. Our refined products pipelines and related activities reported a $20 million increase in gross operating margin compared with the second quarter of last year. Our refined products from marine terminal at Beaumont and the Houston Ship Channel accounted for $18 million of this increase. These assets include a marine terminal in Beaumont that we reactivated in May of 2014, and marine facilities acquired with the Oiltanking transaction. Gross operating margins from our Octane enhancement and high purity isobutylene business increased $22 million due to higher sales volumes and margins. Partially offsetting these increases was an $8 million decrease in gross operating margin from our propylene fractionation business due to increased maintenance expenses and a $13 million reduction from our butane isomerization business, which had lower by-product sales and lower volumes. We continue to realize synergies from the integration of Oiltanking with our system. We also completed an important transaction in July with the acquisition of the Eagle Ford midstream assets from Pioneer Natural Resources and Reliance Holdings. This transaction expands our relationship with Pioneer and Reliance through the long-term volume commitments and acreage dedications in the rich part of the Eagle Ford. We expect additional upside from being able to offer available capacity on these assets to other producers. We closed on the sale of our offshore Gulf of Mexico pipelines and services business to Genesis last week and received $1.5 billion in proceeds. We elected to redeploy capital from the Gulf of Mexico and the growth opportunities in the Eagle Ford and the Permian regions that integrate with our system and are expected to bring incremental volumes to our existing downstream assets. We will believe we will earn higher returns on capital from this redeployment and it's consistent with our disciplined approach to growth. In the last three quarters, we have completed $9 billion of acquisitions and capital growth projects and we have $8.3 billion of projects currently under construction that will begin commercial operations between now and 2017. This includes $2.4 billion of projects that are scheduled to be completed in the second half of this year. We continue to see many additional growth opportunities both organic growth projects and acquisitions, and as they advance to the committed stage, we will provide information about them. Our recent acquisitions and announced organic projects provide clear visibility to increase cash flows to support future distribution growth. Since the beginning of the year, we believe for technical reasons, the market has not rewarded us for our efforts. We will continue to execute our strategies and strive to deliver solid financial results. We're confident that the dedicated team at Enterprise will continue to find and execute new opportunities to grow our partnership and add value for our investors as we extend our strong track record of increasing the quarterly distribution paid to investors. And with that, I'll turn the call over to Jim.
A. James Teague - Chief Operating Officer, Director & Executive VP: Thank you, Mike. As Mike said, this quarter our business has performed well in a pretty tough environment. We continued to benefit from the size of our footprint, our diversity, our focus on both supplies and markets across multiple commodities, flexibility in the type of assets we operate, and last but not least, we continue to benefit from our integrated business model. Having the system the size of ours, as diverse as ours, as flexible as ours requires having people that know not only the markets they participate in, but also understand our system's capabilities to capture what the market offers each day. Consequently, everyday at Enterprise starts with a meeting at 8 o'clock, led by our marketing group and including our business units and our operations and distribution teams determining the opportunities on the Enterprise system map that day; for us that's one meeting, one map and one P&L. We might use trucks or rail to pickup dislocated heavily discounted barrels. We blend an order to achieve full value for the products that we handle. We optimize the batches in our pipeline both in terms of product and direction and we adjust how we're running plants to meet market conditions. In addition to listening to markets and reacting, we anticipate; for example, we anticipate and then position ourselves to capture potential opportunities that we think we may develop in the future. A classic example is we were well positioned with our brand and we did that in advance with our brand inventories that has allowed us to capture quite a lot of contango in this market through the first half of the year. In short, we pay attention to the details. Understanding the details and everybody being on the same page is what helps us to deliver the consistent results. We own a lot of steel. You hear us calling it a system; it's our people that make all that steel a system. This kind of an environment creates opportunities that are different than you're used to. Our people know how to capture those opportunities. We also know that focusing on the longer-term is equally important. This quarter and in midst of this downturn, we announced a large diameter crude oil and condensate pipeline from the Permian to Houston. We announced another gas processing plant in the Permian, this one being built with OXY as a partner. We announced upgrades and expansions to our propylene pipeline systems. We announced additional commitments for Aegis taking those commitments to north of 300,000 barrels a day. And as Mike said, we announced and closed on the acquisition of the Eagle Ford midstream assets. If you look at what we announced this year, they include natural gas, natural gas liquids, crude oil and petrochemicals and those projects are focused some on producers and some on end-users. This year – this quarter – we were able to contract for that new Permian crude pipeline because customers are beginning to realize they need more than a crude line. They know that in addition to crude oil transportation, Enterprise provides them significant flow assurance and market choices with all the tools we have supporting the new pipeline. We were able to offer producers terminals on both ends of the pipe. We can batch and segregate and we have the critical last mile crude oil distribution system to deliver their barrels to refineries along the Gulf Coast; and finally, we offer them a lot of access to the water. Also, I believe that the sellers of the Eagle Ford assets we closed this quarter wanted them in our hands because their experience with us, because we have the tools that brings to the – we have the tools that give them reliability and market choices. In addition to the processing plant we announced in the Delaware, construction continues on the South Eddy plants that we announced late last year along with the gathering and takeaway. When completed, we'll have 600 million a day of cryo processing in the Permian. We like the Delaware basin; we believe that has tremendous potential relative to stacked pays to favorable location to markets and a strong producer base. We expect to grow significantly in this area in the future. Moving to the other side of the state, we're making progress on our Panola NGL pipeline expansion near Carthage. That's a joint venture with Western Gas, DCP and MarkWest and it should be online in the first quarter of next year. Besides the new crude pipeline out of the Permian, we're close to completing our Rancho II pipeline. This is a 36-inch pipeline from Sealy into ECHO, that will have well over 1 million barrels a day of capacity and it's extremely strategic to our crude activities in both the Eagle Ford and the Permian as well as on the Ship Channel. With lower prices, U.S. producers are looking further down the value chain and we're building the systems that allow them to control their own destinies versus the old business model of handing it off to a crude oil pipeline or a group of aggregators. Both of the new large projects we announced this quarter, the Permian and the acquisition in the – the Permian pipe and the acquisition in the Eagle Ford – will rely on the new Rancho line as a critical link to our Gulf Coast distribution system. Work continues on the PDH plant at Mont Belvieu. The major structural work and vessel work is well underway and the massive piping phase that goes with a project like this has now been started. Completion is still expected in the second half of next year. This project is a good fit and we never hesitate to say, it's 100% backed by long-term contracts with investment grade companies. Work also continues as Mike said on our export – our LPG exports. Another bright spot in the LPG exports subject is the global demand for U.S. butane. We are exporting growing volumes of butane from our docks. U.S. natural gas liquids not just propane are rapidly evolving to global markets. Our ethane export facility is progressing well, zone scheduled for the second quarter of next year. Meanwhile significant ethane shipping capacity is being built and the world is trying to calibrate to the U.S. now having plentiful ethane available for export. We are 80% contracted for this facility. We have negotiations underway with another – with a number of parties and I'm confident that it will be sold out by the time it comes up. As Mike mentioned, this quarter we sold our offshore assets to Genesis. Selling assets is not something we do a lot of and we don't take it lightly and it's something that we thought long and hard. But for us we haven't been totally satisfied with the level of integration of those assets where there are other systems and the long lead times for some of these projects often require significant patience and we're not real long on patience. Coupled with a level of opportunities we seek onshore, we felt it was appropriate to sell. We sold it to someone that this is part of their core. We think the assets and the people that support them are in good hands over Genesis. In closing, we continue to have a low price environment and frankly I don't have a clue which way commodity prices are going. We have a lot of smart people come in and tell us why oil prices are coming off. Meanwhile, other smart people come in and tell us why they're going up, which tells me neither one of them know. We can see valid arguments for each, but it does seem to us that when oil clearly gets below its replacement value, plentiful cheap money quickly becomes a buyer. With the natural gas, the amount of natural gas demand coming on over the next three years is undeniable and it's impressive. In NGLs, the sizable new markets including petrochemicals and exports are being added. So, yes, we're in a tough environment, but we're confident we're going to continue to deliver and we believe that that the future is bright. And with that, I'll turn it over to Randy.
W. Randall Fowler - Chief Financial Officer, Director & Executive VP: Thanks, Jim. I'd like to discuss some additional income items for the quarter as well as capitalization. Net income was $557 million for the second quarter of 2015 or $0.28 per unit on a fully diluted basis. Net income and fully diluted EPU were reduced by non-cash impairment charges of – and related charges of $119 million or around $0.06 per unit. This included $95 million of charges related to our offshore business and $17 million related to certain legacy segments of CEPCO's South Texas crude oil pipeline. We had an $8 million benefit from income tax this quarter compared with $10 million of expense for the second quarter of last year. The benefit was primarily due to a decrease in our deferred tax liability as a result of the enactment of a lower tax rate with respect to the Texas margin tax. Total capital spending in the second quarter of 2015 was $888 million which includes $61 million of sustaining CapEx. For the first six months of 2015, sustaining capital expenditures were $112 million. We currently expect sustaining capital expenditures for the full year of 2015 to be in the range of $300 million to $325 million. Adjusted EBITDA for the 12 months ended June 30, 2015 including EBITDA associated with Oiltanking for that period was $5.3 billion. Our consolidated leverage ratio of net debt to adjusted EBITDA was 3.9 times to that period after adjusting for 50% equity treatment for the hybrid debt securities. And there is also reduced debt by $550 million for unrestricted cash on hand at June 30, 2015. Based on our construction cycle, we still expect debt to adjusted EBITDA to peak around 4.25 times before returning to our historical range of 3.5 times to four times after some of these large organic projects are completed in generating EBITDA. In May, we issued $2.5 billion of senior unsecured notes in an offering that generated almost $9 billion of investor demand. Given this level of interest, we were able to upsize the transaction and eliminate our need to access the debt capital markets for the remainder of the year. We thank our debt investors for this level of continuing support. At June 30, 2015, the average life of our debt is 14.6 years using the First Call date for the hybrids and our effective average cost to debt was down to 4.8%. At the end of June, we had consolidated liquidity of $5.6 billion, which included available barrowing capacity under our credit facilities. Adjusted for the payment of the $1.15 billion for the first installment of the EFS Midstream acquisition and are receipt of $1.5 billion in proceeds from the sale of the offshore business, our liquidity was approximately $6 billion. In addition to the $238 million of retained distributable cash flow in the second quarter, we've raised approximately $476 million through our ATM program, distribution reinvestment plan and employee unit purchase plan also. This included $50 million of net proceeds from affiliates of privately held EPCO, where they acquired units through the distribution reinvestment plan. As we indicated in our earnings press release, by redeploying the $1.5 billion of proceeds from the sale of the offshore business, we do not need to raise equity through the ATM program or overnight deals for the remainder of the year based on our current expectations. And with that Randy, I'll to turn it over to you for questions.
John Randy Burkhalter - Vice President, Investor Relations: Okay. Thank you, Randy. Kelly, we're ready to take questions from our listeners.
Operator: . Your first question will come from the line of Ted Durbin.
Ted J. Durbin - Goldman Sachs & Co.: Thanks. Good morning.
Michael A. Creel - Chief Executive Officer & Director: Good morning, Ted.
Ted J. Durbin - Goldman Sachs & Co.: I'll start with the Eagle Ford, please, and the assets. I'm just wondering if you can give us a sense of the utilization rate on those assets right now, where you can take that to and how that might impact the multiple that you paid on a cash flow basis.
A. James Teague - Chief Operating Officer, Director & Executive VP: What are we moving, Bill? Into 260s, 280, plus our legacy which is 15, so probably knocking on the – oh, EFS – I don't know.
Michael A. Creel - Chief Executive Officer & Director: Yes. We'd have to take a look at that and get back to you, it's different for each of the CGPs, but we have spare capacity and we're now out actively and marketing that to third parties. We are finding that we're probably much better we received when we go out to market it to other producers, and then a producer marketing it to a producer. And we're pretty high on the fact that we're going to bring a lot of third party business into that system.
Ted J. Durbin - Goldman Sachs & Co.: Okay. I guess we'll wait and see on that one. And then can we – just shifting over the questions, just on the Midland to Sealy crude line, can you give us an update on the contracting status of that? I realize it's still early days, but of the 450,000, are you half full, are you – how far along are you on that?
A. James Teague - Chief Operating Officer, Director & Executive VP: We are not quite half-full, but we've got about four people we're dealing with. I expect three of those to come across the finish lines pretty quick.
Ted J. Durbin - Goldman Sachs & Co.: And any sense right now on the tariff you might need to make that an economic project?
Michael A. Creel - Chief Executive Officer & Director: It's an economic project what've we got today.
Ted J. Durbin - Goldman Sachs & Co.: What you've today. Okay great. I'll leave it at that. Thanks.
Operator: Your next question will come from the line of Brandon Blossman.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: Good morning guys.
Michael A. Creel - Chief Executive Officer & Director: Good morning, Brandon.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: Just a couple of quick ones: $2.4 billion projects in service 2015; any color on kind of the trajectory of EBITDA adds over the next few months or few quarters on that to add incremental projects?
Michael A. Creel - Chief Executive Officer & Director: I think the easiest way to look at that we've got presentations on our website that show the amount of dollars going into service for each of the next several quarters. Clearly there is a ramp up associated with some of those, not all of them, but we also have other assets that are already in service that are ramping up. So, not a real easy way to answer your questions, but I think you can at least get a sense for the dollar amount of the assets going in the service in the third quarter to fourth quarter.
A. James Teague - Chief Operating Officer, Director & Executive VP: Yes, the two largest projects are the Rancho II pipeline, so we should begin to see a ramp on that beginning later in the third quarter and then the other big project that will come online is our – the expansion of our LPG export facility which – that's a year-end completion. So really, you will not see that EBITDA come on until 2016, but that should be a fairly immediate ramp up on that.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: Okay, good. That's actually very helpful color. And then using LPG as a segue here, just thinking about the propane, butane macro; from your perspective what's the current bottleneck on getting incremental volumes offshore? Is it the dock capacity which – that doesn't look like it's the case or is it DGCL market, LGC market sorry, in terms of day rates, spot day rates being kind of near record highs will incremental vessels being delivered, hope what that issue-
A. James Teague - Chief Operating Officer, Director & Executive VP: This is Jim and then I'll let Al answer. My experience has been freight rates are feast or famine; and I think we're headed into the famine phase. There's a lot of ships coming on line over the next – Al, how many ships?
Albert A. Martinez - Senior Vice President-NGL Marketing & Supply: 80 ships coming on line for the balance of the year.
A. James Teague - Chief Operating Officer, Director & Executive VP: And so that's a lot of shipping. So that's been the biggest hurdle recently, although we haven't had a single cargo cancel. We're going to be able to load 27,000 barrels an hour, I think somebody have to put a gun to my head to get much bigger than that, that's pretty good. We can go do max 16 million barrels a month. And really what – you asked what the constraint was. The constraint is probably low ethane, propane or export quality propane. And that's what – we've kind of matched up our capability to export to our ability to produce export quality propane now.
Michael A. Creel - Chief Executive Officer & Director: The larger growth opportunity with the expansion and with the (26:47) acquisition has given us the ability to do significantly more butane and as we further expand we can – we will expand our butane opportunities.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: Okay. So arguably that's all good news. And then kind of a knock on, it sounds like there is no concerns around specifically propane inventory levels as we move through into the back half of the year.
A. James Teague - Chief Operating Officer, Director & Executive VP: I think there's plenty.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: Well, in terms of exceeding capacity in a short-
A. James Teague - Chief Operating Officer, Director & Executive VP: No. I don't worry about it, exceeding capacity.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: Okay. Thank you very much guys.
Operator: Your next question will come from the line of Mark Reichman.
Mark La France Reichman - Simmons & Company International: Good morning. Just a few questions; with respect to the Onshore Crude Oil segment, could you please just compare and contrast the Permian and the Eagle Ford Basins with respect to your outlook for production growth and associated volume growth on your facilities?
Anthony C. Chovanec - Vice President, Enterprise Products Holdings LLC: Mark, this is Tony. In our forecast, we have volumes growing for both of those plays through 2025. Obviously, the Eagle Ford as far as maturity is ahead of the new horizontal plays in the Permian, but we're excited about both of them, very excited about both of them. So, if you look at – go ahead.
Mark La France Reichman - Simmons & Company International: But South Texas volumes are down little bit this quarter year-over-year, right?
Anthony C. Chovanec - Vice President, Enterprise Products Holdings LLC: The South Texas legacy system, the oldest part of the system was down but the Eagle Ford was actually up year-over-year.
Mark La France Reichman - Simmons & Company International: Okay, okay. That's helpful. And then also, it looks to me like there is ample long haul capacity serving the Permian, yet Enterprise is going to add the Midland to ECHO pipeline or add 540,000 barrels per day in 2017, in light of current market fundamental does that project still appear attractive?
A. James Teague - Chief Operating Officer, Director & Executive VP: Oh, heck, yes. I think there's some differences. One thing is we take them to the heart of the refining market; we don't take them to needle it. We take them to the heart of the refining market and we take them to the places – how many ship docks are we going to have that can load this stuff out?
Unknown Speaker: 15.
A. James Teague - Chief Operating Officer, Director & Executive VP: Yeah, 15 ship docks. So we can give them just unbelievable water access. I think what they see – and I made it in my comments – I think what these guys see is it's easy to – we start at our terminal in Midland. And people deliver their crude to our terminal. Every gathering system out there wants a connection to our terminal. So we have a strong aggregation position. And then when I look at the markets they can access, we don't – we drain in Midland, I think it's going to be similar to Seaway in Cushing. So we're pretty excited about this pipeline. I think we're going to do very well with it.
Michael A. Creel - Chief Executive Officer & Director: Mark, one of the biggest indicators for the need for a pipeline is the willingness of a strong company signup for capacity. And with the capacity we have, this is already a very nice project for us. As Jim said, we've got plenty of room to sign up additional shippers and there is a lot of interest.
Mark La France Reichman - Simmons & Company International: Okay. Then on the other hand, what's your assessment of the match between in-bound and out-bound capacity at Cushing and the potential to add capacity out of Cushing?
A. James Teague - Chief Operating Officer, Director & Executive VP: Yes. I have to look at it. Ryan, do you know.
Unknown Speaker: This is Ryan Coleman (30:32), I work with Tony in the Fundamentals Group. Right now, it looks like Cushing's got a little bit of excess capacity with the Seaway lines and with the competitive pipeline out of Cushing. There's going to still be some incremental volumes coming in from the Bakken area and Canada. I saw a press release that Obama is going to decide about Keystone XL by the end of his term; that might impact things as well. It's still up in the air, but right now, it looks like Cushing has plenty of capacity to drain, but things are going to change and we're just going to be well positioned to take advantage of that if Cushing gets along.
Mark La France Reichman - Simmons & Company International: Okay. And then just lastly, could you just talk a little about available and expected growth in capacity of the Port of Corpus. Maybe a contrast between the Eagle Ford JV's plan for a deepwater terminal with other projects in the area. I know NuStar has some projects that are under development. I mean, is there a risk that capacity could get over-built at Corpus?
A. James Teague - Chief Operating Officer, Director & Executive VP: I guess there's always a risk, where our advantage is we are with plains we own the pipeline that has the supply, so we can aggregate the supply to the terminal.
Unknown Speaker: And we control quite a bit of the supply as well.
A. James Teague - Chief Operating Officer, Director & Executive VP: And we control quite a bit of that supply.
Mark La France Reichman - Simmons & Company International: Okay, great. Well, thank you very much.
Operator: Your next question will come from the line of John Edwards.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): Yeah. Good morning, everybody.
Michael A. Creel - Chief Executive Officer & Director: Good morning.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): Just can you guys comment a little bit, are you seeing given the commodity price environment we're in, any negatives with respect to contract renewals on various pipes?
A. James Teague - Chief Operating Officer, Director & Executive VP: Yeah. Hi, John. This is Jim. You've got to be willing to sell the producer what he wants or sell the customer what he wants, because (32:33) when we started – for example, when we did our deal in the Eagle Ford, when we built all those assets down there – if you looked at the margins at the time, the smart play would be to do percent of liquids; we chose to do fees. And didn't look too smart at the time, but it looks brilliant today. As these contracts rollover, I think going out and doing demand fees is going to be more difficult, but in this price environment, you probably would step up and do percent of liquids. And instead of demand fees, maybe you're talking acreage dedication. So, you've got to be willing to – in answer to your question – rolling over demand fee, take-or-pay contracts is not easy. Renewing based on what the customer needs, we'll be successful at doing. But you've got to get in front of it and you've got to offer them what they can live with.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): Okay. So translating all that, are you thinking it's flattish, slightly...
A. James Teague - Chief Operating Officer, Director & Executive VP: Hell no. We're going to grow it, John.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): What's that?
A. James Teague - Chief Operating Officer, Director & Executive VP: I said hell no, we're going to grow it.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): Okay. All right, that's helpful. All right, and then just on your natural gas systems, how are you seeing volumes? What's the volume outlook there? If you could comment on – some of – a lot of those reach into basins where the economics on production aren't the best, so maybe if you could just comment on that.
Michael A. Creel - Chief Executive Officer & Director: I think in general across the system-wide, we've been fairly flat on volumes; aren't we, Randy?
W. Randall Fowler - Chief Financial Officer, Director & Executive VP: Yes.
Michael A. Creel - Chief Executive Officer & Director: And area-to-area, it's been a little bit different. I think in Texas maybe up a little bit, we're maybe down a little bit in the Haynesville, but all-in-all we're pretty flat on the natural gas systems this year.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): Are you thinking flat – kind of flattish outlook?
Michael A. Creel - Chief Executive Officer & Director: Yes, I think that's generally our view.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): Okay.
A. James Teague - Chief Operating Officer, Director & Executive VP: It's our view for the short term or the medium term. But the thing we're seeing and where we're putting a lot of focus, is we're seeing a lot of demand growth that will be coming on over the next couple of years. And where we've been putting our focus is creating connectivity to that new demand, which I think will ultimately increase our volume.
Michael A. Creel - Chief Executive Officer & Director: Yes. So, focusing on things LNG, new industrials, Mexico, those type of things, I think, are going to pull more volumes through our system in the long run if we're successful in getting those projects, which I'm assuming we will be.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): Okay. That's helpful too. And then just if you could – and you made some opening comments on this, but just if you could give a little further insight on the strategy here, you bought the EFS assets at higher multiples than what you sold the offshore, and I get the connectivity argument. I mean is the expectation here is then you are going to drive the EFS multiple lower and ultimately that becomes a better return on capital or because otherwise it seems like there's a little bit of a disconnect there, maybe you could comment a little bit on that.
W. Randall Fowler - Chief Financial Officer, Director & Executive VP: Yes, John. There's a lot of speculation around acquisition multiples and people look at transactions from the outside as a discrete transaction. We look at how it fits with our system. We think it's a really good transaction for us and provides a lot of benefits that perhaps are readily obvious to the outsider.
A. James Teague - Chief Operating Officer, Director & Executive VP: Yes. We've kind of been here before. We bought systems from producers and Bill hit on it, a producer to do a deal or midstream service with another producer, typically that doesn't work. We've been in situations where we bought other systems, and we've increased the volume because they like dealing with then somebody that's independent, somebody that's not a competitor. We think that'll be the case. We already got people out in the field working that hard.
W. Randall Fowler - Chief Financial Officer, Director & Executive VP: John, another thing to think about is that we do intend to ramp up those volumes over time. We paid $1.15 billion in installments not due for a year, so it gives you a little different look on the economics of the transaction.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): Yeah. And going back to your base assumption that you thought we paid a higher EBITDA multiple than what we sold at, we would probably debate that.
Michael A. Creel - Chief Executive Officer & Director: And I guess the other thing about the EFS transaction, I don't know if everybody recognizes, the EFS transaction wasn't just a purchase of those assets from Pioneer and Reliance, much further beyond that. We got acreage dedications now for our downstream, processing plants, our downstream gas transportation systems and our downstream liquids transportation systems for the next 20 years. So, our volumes are going to ramp up, I think our condensate volumes in the next three months that we're going to receiving from Pioneer and Reliance are going to come close to doubling. And then as they have other dedications to other gas processing plants that roll off some this year, some in the years to come. We're going to get all those dedications to our plant. So, there was a lot of synergy beyond just EFS transaction itself, somebody has got to take a look at it to understand the multiple.
A. James Teague - Chief Operating Officer, Director & Executive VP: So, you're not really looking at the total EBITDA, John.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): Okay. So, basically you're going to be able to touch product in multiple ways, it will give you better cash flow than perhaps what (38:33) a lot more cash flow from them than what they are realizing off of those assets.
Michael A. Creel - Chief Executive Officer & Director: A lot of it – gas transportation, gas processing, NGL fractionation and then liquids transportation, and condensate exports, there is a whole lot of more pieces to the puzzle.
A. James Teague - Chief Operating Officer, Director & Executive VP: As well as getting additional production that currently is going to other assets.
Michael A. Creel - Chief Executive Officer & Director: That's correct.
A. James Teague - Chief Operating Officer, Director & Executive VP: So in short, John, the return on unlevered capital on the EFS deal is higher than the return on capital of offshore.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): Okay. That's really helpful. And then just last question. In terms of your organic opportunity set, what you're seeing now? Is it higher, lower or the same versus say last year at this time, and last quarter at this time?
A. James Teague - Chief Operating Officer, Director & Executive VP: I think with respect to organic opportunities, it's the same; it's same as it's been for years. It's more – we have more opportunities than we're going to do. So opportunities is not the controlling factor, it's how we approach growth in a disciplined manner and fund it in a way that adds value for our unitholders.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): Okay. So around $4 billion a year or $4 billion a year or so is still a pretty good number for modeling purpose going forward.
A. James Teague - Chief Operating Officer, Director & Executive VP: Yes. I think we look at it as $3.5 billion to $4 billion.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): Okay, fair enough.
A. James Teague - Chief Operating Officer, Director & Executive VP: But again, that's what we said last year and look what we've done. We've done kind of that from the organic side, but we've over $6 billion of acquisition. So, there's a lot of different ways to grow.
John Edwards - Credit Suisse Securities (USA) LLC (Broker): Yes, absolutely. That's really helpful. Thank you so much.
Operator: During today's call, we will be limiting question to one question and one follow-up question per line. Your next question will come from the line of Nick Raza.
Nick S. Raza - Citigroup Global Markets, Inc. (Broker): Hey. Thanks, guys. Could you just educate us a little bit more on the – some of the Petrochemical & Refined Products Services? It seems like that that segment had a pretty good quarter and just what was going on there?
Michael A. Creel - Chief Executive Officer & Director: Well, our MTV plant has been running and running very well. The margins from that business are higher than forecast to normal butane being down so much has given good spreads to gasoline and with the naphtha prices being down, it also makes octane very valuable right now. So that business is running very well. On the refined products side, our Beaumont terminal that we activated just over a year ago, it's running at full capacity, 100%. The integration with the Oiltanking Beaumont refined products assets is going out very well. We'll be pretty much complete with that in fourth quarter of this year. So we'll be – we're already filling out the unused volume available at those assets. And so that integration is really bearing fruit also. Those are the primary factors for us.
Nick S. Raza - Citigroup Global Markets, Inc. (Broker): Great. And do you sort of expect that to occur in the coming quarters as well, I mean a repeat of better results?
Michael A. Creel - Chief Executive Officer & Director: I do.
Nick S. Raza - Citigroup Global Markets, Inc. (Broker): All right. Fair enough. That's all I got.
Operator: Your next question will come from the line of Kristina Kazarian.
Kristina Kazarian - Deutsche Bank Securities, Inc.: Hey guys. Just a follow-up on organic growth backlog, can you talk a little bit about some of the most attractive regions, product type, so you guys seeing customer downstream pull versus (42:14) pushing just start off there?
A. James Teague - Chief Operating Officer, Director & Executive VP: I think that if you look at our system mapping, you'll get pretty good idea of where we're focused. The acquisition that we did in the Eagle Ford, the Permian pipeline, the crude build out that we're doing long, the Texas Gulf Coast, our export facilities, I mean that's the business that we're trying to grow.
Kristina Kazarian - Deutsche Bank Securities, Inc.: Okay. And then just a follow up on that: can you guys just give an update on the Marcellus propane takeaway projects the one that links Teppco and MAPL?
A. James Teague - Chief Operating Officer, Director & Executive VP: Yes, the guys are out hustling it; they're meeting with people frankly, we haven't got a deal yet. So I think it's a pretty neat looking project. We'll see if people – if it gets any traction. That is a project – we're going to want demand fees and we're going to want commitments.
Kristina Kazarian - Deutsche Bank Securities, Inc.: And so are those the barriers to getting it done that where it's nothing as much on the willingness to sign up for demand fees?
A. James Teague - Chief Operating Officer, Director & Executive VP: Yes, a little surprising. When you think that we picked up propane and railcars and over the last three months where they paid us to pick it up. So, you would – negative values, you think somebody would step up.
Kristina Kazarian - Deutsche Bank Securities, Inc.: Great. Thanks, guys.
Operator: Your next question will come from the line of Jeremy Tonet.
Andrew Ramsay Burd - JPMorgan Securities LLC: Good morning. It's actually Andy Burd here for Jeremy. Quick housekeeping question on sustaining CapEx based on guidance from earlier this year, it seems like we might be a little bit back loaded. Is this just a timing issue in terms of project or was this always the plan, just a little commentary would be great?
W. Randall Fowler - Chief Financial Officer, Director & Executive VP: Yes. I'll take a shot at it and then I'll turn it over to Graham. I think part of it is if you come in and you look at the way – just the way we spent our sustaining CapEx in 2014, it was a little back-end loaded just because first quarter, we don't just with the weather more of it's deferred to later in the year. So, a lot of it's back-end loaded, but Graham.
Graham W. Bacon - Group Senior Vice President, Operations and Environmental: Yeah, I think as Randy had indicated, it's back-end loaded, we play in a little bit of catch-up, but we also took a very disciplined approach to our sustaining capital as we went into the year and we're working hard to manage that those sustaining capital dollars and looking at where we're getting the best value from it which is why the forecast is down a little bit from where we were in the first of the year.
Andrew Ramsay Burd - JPMorgan Securities LLC: Okay. So, it's more cost saving initiatives and saving money than pushing things back necessarily into next year?
Graham W. Bacon - Group Senior Vice President, Operations and Environmental: Yee, we are looking very closely at our cost savings, some of them is – combination of cost saving is some deferrals from weather events earlier in the second quarter.
Andrew Ramsay Burd - JPMorgan Securities LLC: Great. Thanks very much.
Operator: Your next question will come from the line of Jeff Birnbaum.
Jeff Birnbaum - Wunderlich Securities, Inc.: Good morning, everyone.
Michael A. Creel - Chief Executive Officer & Director: Good morning.
Jeff Birnbaum - Wunderlich Securities, Inc.: So, just wanted to kind of go back to the Permian a bit, I mean, with some of the projects that you've already announced this year kind of some of the comments I think Jim made earlier on, it's an area you expect to grow significantly over the next years. I guess, you're thinking about that growth as likely coming organically with the projects you've announced potentially some more? Or do you – and you expect the market develop such you'd see some more attractive M&A opportunities developing out there?
A. James Teague - Chief Operating Officer, Director & Executive VP: We're not banking on M&A opportunities. We – so I guess, if you look at our plans today, it would be organic. And I think one of the biggest strengths we have that supports that pipeline is our Midland terminal position. It's a – it aggregates a heck of a lot of crude and condensate. I think if we go upstream with that, that's going to be whether we can get a deal that we like, otherwise just the position we have in Midland tied to this pipeline is pretty dad-gum strong Permian position. Bill?
William Ordemann - Group Senior VP-Unregulated NGLs & Crude: And the Midland terminal is the pricing point for crude out there and I think we have a tremendous amount of land and tremendous amount of opportunity to expand. We've got some expansion ongoing as we speak. We've got some expansion that will take place that will be associated with the Midland to Houston pipeline and then we've got more expansion that's going to take place that's going to be a result of the shippers on the Midland to Houston pipeline and that aggregate supply. So, I view of Midland, the Midland terminal has kind of a special place in the next few years.
Jeff Birnbaum - Wunderlich Securities, Inc.: Okay, great. Thank you. And I apologize if I'm repeating something. I got knocked off the call earlier for a bit. But Randy, when do you think you expect to hit kind of that peak 4.25 leverage and when do you think you can get back to a mid-3s leverage ratio and kind of how do you see perhaps that impacting your appetite for deal making or anything like that?
W. Randall Fowler - Chief Financial Officer, Director & Executive VP: One, I don't think it's impacted our appetite for M&A. As far as peak debt to EBITDA of 4.25 or so, probably the second half of this year, probably later this year; could be year end. As far as working that back down into between 3.5 and 4, that's probably going to be more of the year-end 2016 getting into 2017. Mike talked about $8.3 billion worth of capital projects coming along. Several of those are second half of 2016. So coming in and working that number down below 4 would happen after those projects ramp up. So again you're probably by then, you're talking about year-end 2016, getting into 2017.
Michael A. Creel - Chief Executive Officer & Director: So when you're talking about year-end 2016, you're starting to look at it on a 12-month trailing basis. So, the cash flow will come on immediately, so it does change the profile a little bit.
Jeff Birnbaum - Wunderlich Securities, Inc.: Yes. Okay, perfect. Thanks so much.
Operator: Your next question will come from the line of Helen Ryoo.
Helen Jung Ryoo - Barclays Capital, Inc.: Thank you. Good morning. I had a question about the Savage deal that was I guess some audit pools (48:48) and talked about besides being considering investment in your shale gas and besides had signed some agreements with them. Could you talk a little bit detail as to what kind of agreement that is? Is it related to the LPG export, ethane export or any color you could give would be appreciated.
A. James Teague - Chief Operating Officer, Director & Executive VP: That story was misleading. That deal is related to, I mean, to ethane export and the sale of ethane.
Helen Jung Ryoo - Barclays Capital, Inc.: Okay. And it was misleading because there was no contract signed or...?
A. James Teague - Chief Operating Officer, Director & Executive VP: Misleading – the report that came out on the shale gas, I mean it was – what I meant by that was and there's two reports that came out. The first specifically talked about their involvement with Enterprise and shale gas. And the involvement was basically with our export arrangement for ethane and the potential sale of ethane to the customer.
Helen Jung Ryoo - Barclays Capital, Inc.: Okay.
Michael A. Creel - Chief Executive Officer & Director: I guess, in a sense, Helen, it was right because ethane comes out of that shale pad.
Helen Jung Ryoo - Barclays Capital, Inc.: So I guess, they have an agreement with you for the ethane export; that's the bottom line?
Michael A. Creel - Chief Executive Officer & Director: I think the bottom line is that would imply they have an agreement with us.
Helen Jung Ryoo - Barclays Capital, Inc.: Okay, understood. And then just a quick follow-up on comments about the ethane rejection and how it has been affecting your frac volume and NGL pipeline. What are you seeing in ethane rejection now and what is your expectation on that going forward?
A. James Teague - Chief Operating Officer, Director & Executive VP: We think, Tony, perhaps 600,000 barrels a day industry wide. And I think we're seeing, the ethane percentage in wide rate we bring in at about 30% to 32%.
Anthony C. Chovanec - Vice President, Enterprise Products Holdings LLC: 30% to 32%.
A. James Teague - Chief Operating Officer, Director & Executive VP: 30%. So, I mean there is a lot of potential ethane, at the right prices if somebody wants to build more crackers. We're not too confident that over the next year that's going to get any better.
Anthony C. Chovanec - Vice President, Enterprise Products Holdings LLC: There are opportunities to recover ethane from time-to-time. Particularly, on our variable cost in fact on couple of more large plants we brought ethane recovery this week. And I don't know how long that will last. If it lasts a week or two week, it would be great; if it doesn't, we'll pull it back down into rejection, but we have the opportunity operating on variable cost to capitalize on that, what I call our discretionary keep-whole ethane if our producers are rejecting it, we have the opportunity to go in and take it.
A. James Teague - Chief Operating Officer, Director & Executive VP: And we – that's – I talked about a meeting every morning, that's one of the things we look at every morning on every gas plant, what should we be doing. And we may operate these plants. We may operate the plants down in Texas differently than we operate the plants on the Rockies on a given day, and then we may flip. We drove our operations people crazy with the way we'll flip them back and forth. We finally agreed with them that we'll give them three days notice before we do anything different.
Helen Jung Ryoo - Barclays Capital, Inc.: But overall, you don't see ethane rejection, the level of ethane rejection improving throughout the remainder of the years up there?
A. James Teague - Chief Operating Officer, Director & Executive VP: That's it.
Helen Jung Ryoo - Barclays Capital, Inc.: Okay, all right. Thank you very much.
Operator: Your next question will come from the line of Charles Marshall.
Charles Marshall - Capital One Securities, Inc.: Yes. Good morning, everyone. I'm just wondering if you can help sort of educate us on the announced project for the PGP and RGP asset down in Texas and Louisiana. Is the market that you are seeing down there and (52:29) secured by the customer contracts, et cetera?
W. Randall Fowler - Chief Financial Officer, Director & Executive VP: Yes. We're expanding our PGP deliveries both South and East. The key thing to think about is, when our 1.65 billion pound PDH is coming up, that's not replacing our RGP PGP sales, where that's incremental, that's incremental volume that we have going out the door. We have PGP contracts that go out, that are not PDH, they stick around well beyond the startup of the PDH plant. So we're expanding our capability to deliver more PGP. We're also seeing the continued movement of the market in general towards PGP away from CGP so there is additional conversions. And then there is a lot of potential derivative talk out there, some announcements and some that haven't been announced yet. And so we're preparing for it.
Charles Marshall - Capital One Securities, Inc.: And it's safe to say you've got contract supporting those?
W. Randall Fowler - Chief Financial Officer, Director & Executive VP: Contract supporting it, yes.
Charles Marshall - Capital One Securities, Inc.: Okay. Thank you for that. And then just one last quick one: it looks like your CapEx on the construction is up about $1 billion prior to your last announcement. Could you just kind of just elaborate what's in that backlog number now?
A. James Teague - Chief Operating Officer, Director & Executive VP: Yes. The main additions to it were really around obviously the adding in the Midland to Sealy crude oil pipeline. The joint venture that we have with OXY, but in near-term what we added with RB with the RGP and PGP pipelines. Those have been the most significant adds. And there had been a number of smaller projects, but again smaller.
Charles Marshall - Capital One Securities, Inc.: Okay. That's it for me guys. Thank you.
Operator: Your next question will come from the line of James Carreker.
James Carreker - USCA Securities LLC: Thanks. Given what's happened in the midstream space recently, I was wondering if you guys could comment on your appetite for large scale M&A.
Michael A. Creel - Chief Executive Officer & Director: Nice try.
A. James Teague - Chief Operating Officer, Director & Executive VP: Like I said, we've done over $6 billion of acquisitions in the last nine months. So, we're involved. One thing that we've consistently said about Enterprise is that we don't grow and do M&A just for the sake of getting bigger. We've got to do things that makes sense for our investors and one thing that is relatively unique about us is as opposed to other names that you see in that market is that we've only got one equity security. So, we have our common units, we don't have a general partner with IDRs that has different economics, management, sponsor of the partnership, individuals, our employees and outsiders are all interested in same security. So, we're focused on growing the value of each of units. So a large transaction that keeps us really big may not really create any value, it may actually destroy value. So, we look at a lot of things, we do the things that make sense.
Unknown Speaker: I appreciate it, that's all I had. Thank you.
Operator: There are no further questions at this time. Speaker, are there are any closing remarks?
Michael A. Creel - Chief Executive Officer & Director: Kelly, if you don't mind, would you give our listeners the replay information for the call today?
Operator: Yes, it's the end of call. For the replay beginning at 1:00 PM Eastern Time today through 11:59 Eastern Time on August 6, 2015; the conference ID number for the replay is 85121841. Again the conference ID number for the replay is 85121841. The number to dial in for the replay is 1800-585-8367 or 404-537-3406.
Michael A. Creel - Chief Executive Officer & Director: Okay. Thank you, Kelly. And I'd like to thank everyone for joining us for our call today and have a good day. That's the end of the call. Thank you. Good bye.
Operator: This does conclude today's conference call. You may now disconnect.